Operator: Good morning, and welcome to Malibu Boats Conference Call to discuss first quarter fiscal year 2021 results. [Operator Instructions]. On the call today from management are Mr. Jack Springer, Chief Executive Officer; Mr. Wayne Wilson, Chief Financial Officer; and Mr. Ritchie Anderson, Chief Operating Officer. I will turn the call over to Mr. Wilson to get started. Please go ahead, sir.
Wayne Wilson: Thank you, and good morning, everyone. On the call, Jack will provide commentary on the business, and I will discuss our first quarter financials. We will then open the call for questions. A press release covering the company's fiscal first quarter 2021 results was issued today, and a copy of that press release can be found in the Investor Relations section of the company's website. I also want to remind everyone that management's remarks on this call may contain certain forward-looking statements, including predictions, expectations, estimates or other information that might be considered forward-looking. And that actual results could differ materially from those projected on today's call. You should not place undue reliance on these forward-looking statements, which speak only as of today, and the company undertakes no obligation to update them for any new information or future events. Factors that might affect future results are discussed in our filings with the SEC. And we encourage you to review our SEC filings for a more detailed description of these risk factors. Please also note that we will be referring to certain non-GAAP financial measures on today's call such as adjusted EBITDA, adjusted EBITDA margin, adjusted fully distributed net income and adjusted fully distributed net income per share. Reconciliations of these non-GAAP financial measures to GAAP financial measures are included in our earnings release. I'll now turn the call over to Jack for initial commentary.
Jack Springer: Thank you, Wayne, and thanks to all of you for joining the call. Our team delivered phenomenal first quarter fiscal results that exceeded expectations. We saw a strong market and retail continued as well as the fantastic margin quarter and what is usually our lowest margin quarter of the year. This was driven by customer desire for larger boats and insatiable demand for features and options, the impact of our vertical integration strategy and flawless execution of our operational excellence initiatives. Our performance this quarter underscores the strength of our premium brand lineup and our leadership in the market. For fiscal Q1, we delivered net sales, gross profit and adjusted EBITDA year-over-year growth. Net sales increased 5% to $181 million. Gross margin increased 210 basis points to 25.3%. Adjusted EBITDA increased 28% to over $36 million and adjusted EBITDA margin increased 360 basis points to 20.1%. This is an achievement in Q1 as we work to meet our long-term target of a 20% adjusted EBITDA margin annually. Never in the history of our company have we achieved a 20% adjusted EBITDA margin in the first quarter. Malibu's continued outperformance in an incredibly volatile operating environment serves as a testament to our competitive leadership, strong and agile team, market-leading brand and unmatched vertical integration capabilities. This foundation has enabled us to consistently drive substantial value for our shareholders. We have pride in being a growth company that masters the top and bottom line. Last week, it was announced in Fortune's ranking of the 100 fastest-growing companies that Malibu is now #12. 2 years ago, we were #77. And last year, Malibu was #28. We are very proud of this distinctive achievement. Providing color to the quarter in more detail, new consumers and lifelong enthusiasts have continued to discover Malibu's lineup of premium brands, and the demand continues to be historic at levels beyond what we had anticipated for the fall. All of our brands continue to see strong demand, and it is stronger than it normally is this time of year. Last week, I visited dealers. In the largest market area in the nation for Malibu and Axis, as of the 27th of October and against October 2019, unit sales were up over 150% for that dealer. Revenue was up over last October by over 200% and ASP per unit was up by 20%. A telling comment was this dealer has never seen customers put so many features and upgrades on boats before. From our view of the retail landscape, we are seeing more retail customer orders than we normally would at this time of year because channel inventories are very low. In a normal year, we would be seeing approximately 70% of our orders be dealer stocking orders, but the demand has customer orders and dealer stocking orders equal, if not slightly weighted to customer orders. When a retail customer orders a boat, they invariably select more features and options driving ASP higher and adding significantly to the margin for boat profile, a reason we saw exceptional gross and adjusted EBITDA margins for the quarter. Further, discounting has been at a minimum, given the historically low inventories. While we are seeing the strong demand over the last 8 weeks, we have also seen the inventories that our dealers begin to build. The trough and available for sale channel inventories was reached the week of September 4. Since that week, we have seen channel inventories increase at Malibu and at Cobalt, but we almost realized that growth is - this growth is off a seasonally low base of channel inventory. Similar increases have been seen in Pursuit as well. Now this is good to see. However, the week on hand of inventory is still significantly down double-digit weeks versus what is normal this time of year, and our belief is that it will take into a model year 2022 to normalize. In all of our brands, we have not missed shipping 1 boat we had planned to ship. This is a function of our planning and operational excellence. It has allowed us to maximize our operations to ramp up production quickly. We have increased boat count at Malibu, and we have added unplanned production Fridays at all of our brands. Today, every brand is ahead of its unit volume plan. Malibu and Pursuit are ahead of planned units and unit shipments last year. Cobalt is ahead of planned units. Cobalt unit shipments are less than last year, and this was intentional due to 3 reasons. First, as I will discuss in a moment, we are in the final phase of our 3-phase expansion and improvement project at Cobalt. It was during fiscal Q1 that the biggest impact on production would be experienced and as we navigated the project and production occurring in the same area of the plant. We were still able to ship more than plan. Secondly, introducing and integrating 3 brand-new boats in the quarter for the very first time in Cobalt history was an adjustment, and we planned for that accordingly. Lastly, as expected, our suppliers continue to ramp production in a post-COVID environment to meet unprecedented demand levels. We have navigated well through this and have experienced no shortages that have impacted our production and our plans. Looking to the future for Cobalt. The investment in the project and in new product will pay dividends. While we fully expect to be ahead of plan, Cobalt volume will not see a year-over-year gain until the second half of the year as we begin increasing production counts at that time. The recently released full year trailing 12-month market share data from SSI has confirmed what we discussed last quarter. We gained significant market share. As a reminder, the quarterly data is much more matured and it's and - is as complete as possible, which is why we focus on this data versus the monthly data. For our Malibu and Axis brands, the June trailing 12-month market share increased 210 basis points to just under 33%. One of the 3 performed - 1 out of every 3 performance sports boats sold in the U.S. is a Malibu or an Axis. We took share from almost all of our top 5 competitors. Additionally, 83.8% of our dealers are #1 or #2 in market share in their markets. And 60% of all of our dealers increased their share, marking an extraordinary level of share increase by our dealers. Cobalt also improved its share during the trailing 12-month period in that sterndrive market. In the outboard segment, Cobalt has continued to gain share as well. With our plan to introduce 4 new outboard boats over the next 15 months, our outboard market share should continue to grow. We introduced 3 new boats in the first fiscal quarter and 3 more boats will be introduced in fiscal Q2. We firmly believe that all of this new product will continue to drive growth and market share at Cobalt for both the sterndrive market and the outboard market. Finally, Pursuit continues to perform well with a strong market share position in this competitive set of the saltwater outboard segment. And as our additional capacity drives further growth, we expect that share to increase over time. Our product development engine has continued at a fast pace, introducing new boats that exemplify innovation and attract new customers into the lifestyle. Our teams are pushing the boundaries every day, bringing luxury and innovation together and groundbreaking new boats. For Malibu, our flagship M240, which is just entering its second year, is outpacing our expectations. Leading our model year 2021 new product is the recently introduced M220, 24 MXZ, 23 LSV and Axis A24, which are all larger boats that continue to drive new business and higher margins. All of our models from Malibu and Axis are powered by our best-in-class Malibu monsoon engines. Further, these new models are equipped with several of our patented technologies, including our integrated Surf platform featuring Surf Gate, our Stern Turn technology and our proprietary Power Wedge III. For Cobalt, our momentum is carrying into 2021 as we are expanding the product portfolio as well as our production capabilities. As I mentioned, we have already introduced 3 new model year 2021 boats, the R6 standard, the R6 outboard and the R8 standard, all of which have a higher ASP than predecessor boats and better margin profiles. Pursuit is on pace to introduce a new boat per quarter throughout the model year. Pursuit's new, S 428, our largest, most luxurious boat yet is already in high demand as this new boat is the epitome of functionality, innovation and luxury. Our new 180,000 square foot plant allows us to build this new model at Pursuit in Florida and replaces the contract-built predecessor S 408 model that was built in Michigan. The margin profile on this boat in the S 378 doubles by building these boats in-house at Pursuit. Since June, the new Pursuit plant has been producing the S 428 and our new S 378 as well as other large boat models as we continue to fine-tune the plant operations and prepare for increasing production. Similarly, Cobalt is in its final phase of its 3 phase capacity expansion and lamination gel coat optimization project. The first 2 phases, the expansion of our cruiser plant and the expansion of our small boat plant are complete. The third phase, the expansion and complete updating of our lamination and gel coat areas will be completed by the end of fiscal third quarter. We are following the same recipe as we did at Malibu in 2012. It greatly improved efficiency, quality and work environment quality. Cumulatively, these 3 phases will allow us to increase the production of cruisers and small boats by approximately 40% over what we are building today. This will set us up to take additional market share. As we have said before, we are infusing our proven Malibu model into our Cobalt and Pursuit brands, and we continue to move the needle as our operational excellence initiatives further permeate all of our brands. Moving to our operational excellence initiatives. Our unparalleled vertical integration strategy continues to be a competitive advantage across all of our brands and the catalyst for driving continued growth and profitability. Our vertical integration strategy allows our teams to control products or features, all the way from conception through customer delivery. In fact, our team controls up to 25,000 more of our material costs in a Malibu or Axis boat than our competitors. In a normal environment, this provides control of the entire supply chain, better efficiency, better quality and lower cost through the elimination of middleman margin. In the COVID environment this spring, it is because of vertical integration that we successfully executed as we went from full shutdown mode to unprecedented demand levels without skipping a beat, while at the same time, delivering record fiscal first quarter adjusted EBITDA margins. Investment in our vertical integration initiatives not only drives profitability, but unlocks maximum value from our product portfolio. Our patented swim step features that originated with Cobalt is now being utilized throughout the Malibu models, and Malibu's flooring vertical integration initiative has been expanded to Cobalt and will eventually be provided to Pursuit. By developing our cross-brand integration, we are confident in our ability to generate new synergies across the brands in fiscal year 2021 and beyond as we also continue to identify and bring external products and processes in-house from external suppliers. We remain committed to our growth strategy and our 4 platforms. First, we will continue to drive innovation and be the first to market with compelling new products and features. Second, we remain relentless in our pursuit of product and distribution white spaces as we aim to expand our distribution footprint to those areas where we do not currently have a presence. Our vertical integration strategy will continue to be a strong competitive advantage for Malibu. And finally, the strategic acquisition strategy of premium companies that we know that we can improve remains a focus. For us, it is all about the asset, not the cycle we are in. When the next great asset comes to market, we are going to be there to acquire and integrate it into the Malibu and grow it even further. Looking ahead to full fiscal year 2021, we are positioned as if we are the first in line at an all-you-can-eat buffet. 2021 should be a fantastic year and well ahead of our expectations. That said, we are watching a couple of fronts that could inhibit us from realizing the full opportunity for fiscal 2021. I want to make this very clear that outside of a big impact, we do not foresee we have built these potential headwinds into our outlook that Wayne will discuss. To be more specific, we don't know what COVID environment will be, but we do not expect an impact near the magnitude of spring 2020. We are also much better prepared today than in March when everyone was blindsided by the pandemic. All of our plants are essential businesses in their states. We have CBC processes and protocols in place and functioning at our plants and we are in a constant state of monitoring and risk mitigation. Secondly, in the last few weeks, we have seen some tightening within our supply chain. It is important to understand what this means. We have not missed building and shipping 1 boat. Being operationally excellent, we know that our mission is to build boats and not being able to build boats hurts our margins and profitability much, much more than saying we kept our inventory low. This practice of investing in inventory ensured that we had parts and supplies in April and May to build boats at the same daily rate of what we were building in March when we shut our plants. No other manufacturer we know was able to do that. Here is the impact of a tightening supply chain as we see it today on Malibu. We could build more boats today, but we are seeing suppliers, small and large, pressing for supply component parts. This is a function of their own total impacts and the unprecedented demand they are facing. We must modulate our pace to what they can sustain. This is the bottleneck of building more boats today. However, we also expect this constriction to mitigate over the next few months. Like us, our suppliers now recognize the incredible demand and are making plans and taking action to supply that demand. Regardless of these 2 dynamics we are watching, we believe the outlook we will share with you is imminently attainable because we have built in potential negative impacts. As the problems in the supply chain resolve, we remain uniquely positioned in the marketplace, given our strategic investment in our operational excellence initiatives, our strategic planning capabilities and our vertical integration strategy. This has enabled us to remain resilient, quickly overcoming many of the issues our competitors are facing due to those operational issues out of their control or as a result of their lack of planning and excellence. Given our incredibly strong start to fiscal year 2021, we believe we will deliver strong full year revenue growth and adjusted EBITDA margins. I am incredibly proud of our team, as we continue to navigate through one of the most volatile periods in history. Our team's enduring commitment to being the best through operational excellence, the best product and the best distribution will enable us to continue to deliver on our strategic vision. We have positioned ourselves to sustain long-term competitive advantages that will result in market share gains and increased profitability, and we are confident in our ability to deliver value to our shareholders while outperforming our peers to remain a leader in the industry. I will now turn the call over to Wayne to take you through our financial performance in more detail.
Wayne Wilson: Thanks, Jack. In the first quarter, net sales increased 5.2% to $181 million and unit volume decreased 5.3% to 1,635 boats. This decrease was primarily driven by the decrease in unit volume in our Cobalt segment, which Jack discussed, offset by increases in our other brands. The Malibu and Axis brands represented approximately 63.1% of unit sales or 1,031 boats. Cobalt represented 28% or 458 boats and Pursuit made up the remaining 146 boats. Consolidated net sales per unit increased 11.1% to approximately $110,700, primarily driven by a favorable mix within all brands, a higher mix of Pursuit sales and an increase in optional features in our Malibu segment. Gross profit increased 14.3% to $45.7 million and gross margin was 25.3%. This compares to a gross margin of 23.2% in the prior year period. Selling and marketing expense decreased $1.5 million or 28.7% to $3.6 million in the first quarter of 2021 compared to the 2022 period. As a percentage of sales, selling and marketing expense decreased 90 basis points. General and administrative expenses increased 9.2% or $1 million. The increase was primarily driven by higher legal expenses related to intellectual property litigation. As a percentage of sales, G&A expenses, excluding amortization, increased 30 basis points to 6.5%. Net income for the quarter increased 32.1% to $22 million. Adjusted EBITDA for the quarter increased 28.0% to $36.3 million and adjusted EBITDA margin increased 360 basis points to 20.1%. Non-GAAP adjusted fully distributed net income per share increased 36.1% to $1.13 per share. This is calculated using a normalized C Corp tax rate of 23.6% and a fully distributed weighted average share count of approximately 21.5 million shares. For reconciliation of adjusted EBITDA and adjusted fully distributed net income per share to GAAP metrics, please see the tables in our earnings release. Our operating cash flow in the quarter approached $33 million, and we used a portion of this cash to repay all outstanding amounts under our revolving credit facility. At quarter end, we continued to maintain a $75 million term loan and over $52 million in cash, positioning us well to continue to deploy capital in high-return strategic investments like our successful vertical integration initiatives and strategic accretive acquisitions. As Jack mentioned, we are anticipating a strong year for fiscal 2021. That said, we remain acutely aware of the uncertainty related to the COVID-19 pandemic and have factored potential downside risks, including in the supply chain into our outlook. Despite this, we believe we will deliver strong full year revenue growth of approximately 20%, driven by robust mid- to high single-digit percentage growth in net revenue per unit. Be it not for the risks associated with managing through a pandemic, our volume expectations would be meaningfully higher. We continue to work plans to produce more volume, giving upside potential to this outlook and will work diligently to execute if the opportunity presents. We believe full year fiscal 2021 adjusted EBITDA margins will approach 20%. We have highlighted in the past our investments and efforts to achieve 20% adjusted EBITDA margins and believe we are nearly there. Specifically, we continue to see positive impacts from our engine vertical integration initiative at Malibu and more recently, the start-up of our new Pursuit factory. With respect to cadence for fiscal year 2021, we believe our fiscal second quarter will have some similarity to our first quarter performance. Specifically, we expect volume to be down modestly as we manage supply chain risks. We believe margin improvement in Q2 year-over-year will be strong, but meaningfully less than in Q1 where we saw the benefit of specific seasonal event-driven cost reductions. Additionally, we have begun, again, to invest in the business to support continued rapid growth and expansion efforts that had been previously put on hold and are now restarted. In closing, our team continues to deliver strong results and exceed expectations despite the volatile operating environment. By relying on our operational excellence and proven vertical integration strategy, we experienced increased market share gains and profitability, further securing our position as leaders in the industry. We remain optimistic as we successfully navigate the uncertain economic environment and are confident that we're in an excellent position to maintain our momentum going forward. With that, I'd like to open the call for questions.
Operator: [Operator Instructions]. Your first question comes from Craig Kennison with Baird.
Craig Kennison: Wayne, just with respect to your guidance, you just made the comment on Q2, which is really helpful in terms of cadence. I'm wondering from a full year standpoint, when we think about 20% revenue growth, can you give us a rough approximation of the ASP and volume contribution there?
Wayne Wilson: Yes. I mean, it was a mid-to-high single-digit percentage growth rate on ASP.
Craig Kennison: Got it. And then with respect to your supply chain issue that you have mentioned, just give us a feel for how many different vendors you work with to build a boat? I'm sure it's a large number, but trying to approximate that.
Wayne Wilson: In terms of the number of parts, I mean, there's thousands of parts that go into a boat. Now in terms of cross vendors, we think of a lot more in terms of the parts as a - number - as opposed to the vendors. But I mean, you're talking about hundreds of vendors, again, that are going into each boat.
Craig Kennison: And then lastly, just you guys have been able to gain share very nicely. I know you've also been able to add dealers over time. Is it a difficult time to add dealers given the challenges you face stocking your existing dealer base?
Jack Springer: Yes. That's one area. And Pursuit is a great example of that, Craig, where if we were in a different environment, we'd be adding dealers more quickly on Pursuit, but we're very focused on doing everything that we can to get adequate inventory as soon as possible to our existing dealers. And then after that adding dealers. So going back to pursuit for a second, we would be adding dealers more with more velocity today if we were not in this environment. But I do expect to see that as we get more toward the end of model year '21 and end of '22.
Operator: And our next question comes from the line of Brett Andress with KeyBanc.
Brett Andress: So just a little more color on the supply chain. So clearly, some things popping up the last few weeks, but where specifically are you seeing the pressure? And you mentioned this lasting the next few months. But is this a situation that maybe gets worse before it gets better? Or are we actually rounding the corner on this?
Jack Springer: No. In my opinion, we're rounding the corner. And I do want to differentiate our messaging from maybe some of the other messaging that will come out across the power sports industry. And I reiterate that we have not lost 1 planned unit that we had planned to ship. And we do not expect that to occur. So more than anything, and what Wayne is telegraphing here is that we're going to see some impact in that second quarter from the standpoint of we might go up and count at all of the plants, but we're limited to that until the third quarter. But it is getting better. They are - look at it this way, they're 6 months out of the COVID environment, so they're able to react. They know what the demand is now, and we're slowly starting to see it get better and we expect that to continue.
Wayne Wilson: Yes. And the thing that I'd add is, Brett, in terms of how we just manage the business and production, what we don't want to be doing is making step function moves and throughput that are putting too much stress because if something rears its head, that's the type of thing that wreaks havoc on your production and boats - that slows the line down, boats are sitting off to the side, those types of things and that's what we - from an operational excellence perspective, want to avoid. And so we give it a little bit of time to make sure that we can do it as effectively and efficiently as possible.
Brett Andress: Got it. Okay. And then, Wayne, just on the EBITDA margins in the path to 20% this year, can you help adjust to maybe how much is volume-driven? How much is ASP option uptake? How much is fixed cost leverage? Because I'm assuming it's a mixture of all that. But how much maybe have the supply chain pressures? How much of that holding back on the 20% also?
Wayne Wilson: Yes. I don't think the supply chain is holding that back. What I would say is look, the Q1 was a little bit higher than we had anticipated, and that's a positive. But ultimately, I think it's really - the vast majority of it is us harvesting the investments that we've made over the past couple of years. And so you obviously have a little bit of leverage in there. But I think the good and the bad of the variable cost structure is you get less of that leverage all the way up. And the benefit is on the way down, it behaves in a similar manner like we saw in our fiscal Q4. So a lot less of that, a lot more of harvesting the rewards and the returns on our investments. And then you got a little bit of the impact coming from additional option take - but I think the primary driver is kind of our prior investments.
Operator: And our next question comes from Joe Altobello with Raymond James.
Joseph Altobello: The first question, obviously, we're certainly not going to know what retail looks like next year until next year, but how are your dealers feeling about potential growth in calendar '21 off of a pretty strong calendar '20? Are they going up for another strong year from an inventory standpoint?
Jack Springer: Yes, they are. And talking about the dealer, they very much are. Their focus right now is they love to have more inventory. And as I mentioned in October, what we're seeing is that, that demand continues to be very strong from the retail consumer. So I think the majority of our dealers absolutely feel like that 2021 is going to be very strong and 2022 will be very strong as well.
Joseph Altobello: Got it. And just a follow-up that with another question. Do you see a likely change in administrations impacting demand next year in terms of tax rates on retail consumers?
Jack Springer: No. Where we're at today, we still don't have an election that's been called. So we don't know for sure know what the executive branch will hold. But to me, that's not as important as having a scenario where the legislative branch and the executive branch may be in different parties. So what we see today, you look - it looks like that the Senate will continue to be held by the Republicans. They have also picked up Congressional seats. And everything that I'm hearing, even people that I'm talking to that we're planning to sell a business or they have some sort of a tax scenario that they've got to look at, they don't believe that the tax impact will be as nearly as likely to occur. So I think from that standpoint, we all feel better.
Operator: And our next question comes from Mike Swartz with Truist Securities.
Michael Swartz: Just wanted to talk about the inventory situation out there. And I think Wayne, on the last call, you indicated that you're about 1,000 units short of where you wanted to be with field inventory. Could you maybe provide us an update of where you are today? And maybe how that's changed your thinking about when you'll actually be able to get back to equilibrium in the retail channel?
Wayne Wilson: Yes. Really - the strength at retail has really continued. And so given what we did wholesale from a volume perspective, Jack quoted some percentages in terms of what those inventories are up since the trough. But really, that's a seasonal - the percentage is overstated because the denominator is actually really low. And ultimately, I don't think we've made a dent into that 1,000 in any way, shape or form. There might be a little noise around that number. But the short of it is we don't expect to have inequilibrium out until - into fiscal 2022.
Michael Swartz: Okay. Okay. That's helpful. And then just in terms of - Jack, you've talked about the longer-range EBITDA targets of 20%, and I think even 20% in each brand. I guess your guidance is now in fine, you're getting back close to that. And presumably, if you don't have any more supply chain challenges, maybe there's even upside to that this year. So I guess, how do you reassess that target over the long term? And then maybe how do you balance that with your obvious interest in growing market share?
Jack Springer: We're ahead of the curve. So what we've said is that within the next 3 years or so, we will be at that 20% cumulative MBUU EBITDA margin. And so we're ahead of that. Clearly, if we've achieved that 20% EBITDA margin in the first quarter, we are ahead of that. So I think that it's going to come quicker, barring any unforeseen scenario. For me, the decision is not around - get to that EBITDA margin level and you lose market share or increase market share. They're not necessarily tied to each other because of the way that we go about it. If you're dealing with a scenario where the only way you can generate the EBITDA margin is to raise your prices, then you're going to impact market share. We have the best value proposition of any of the competitors that we compete with almost across all of our brands. So it's not a price increase that gets us to the EBITDA margin, it's what we've talked about a lot, which is vertical integration, operational excellence, the way that we plan. And I'll give you a perfect example out of COVID, Mike, we telegraph and have conversations with our suppliers well, well in advance. So that's part of the reasons why we continue to invest in inventory. And in April and May, when we opened back up our plant, our suppliers knew what our need was going to be, and we were able to open up building the same number of boats as when we closed our plants. No other company that I know of was able to do that. We're communicating and have been communicating with our suppliers for months in advance, where we plan to take production increases up, can you support us in that? And that's why we're supremely confident that if we're modulating our production and we're working with our suppliers, we can get the unit cat increases, we can get the EBITDA margins, we can get the gross margins that we expect to achieve this year because we just simply plan strategically and tactically better than anyone else.
Operator: Our next question is from Alex Maroccia with Berenberg.
Alexander Maroccia: One question on the expense profile. Your sales and marketing was a bit lower year-over-year, which I'm assuming it's driven by less shows and other branding events. So how much marketing is necessary this year since demand remains so strong? And how will it ramp once the event environment gets back to normal?
Jack Springer: Well, I think it's a redeployment of those dollars. We - what we're hearing is more and more of the boat shows are not going to go forward. And I expect that by the time it's all said and done, it will something be somewhere between 10% and 50% actually occur. So we're redeploying those dollars, and we're putting it into more digital, virtual boat show concepts, a lot of events at dealers. And so I don't see a great decrease, but it's going to be a redeployment. I also think that our environment around boat shows and what generally would go on in the spring is in the process of changing. And I'm not saying that boat shows are going to go away. But I do think that what is occurring is we're going to see a hybrid model in coming years. And it's going to be a little bit different. We've seen the impact of boat shows over the last, call it, 5 to 10 years, dissipate slightly. And there are other venues, and I think that the culture is changing. And so it becomes more of how are we going to use those marketing dollars versus plowing them all into 1 or 2 particular events.
Alexander Maroccia: Okay. That's helpful. And then second, despite the stock being achieved, you've got high cash generation and there's still availability under the buyback of. We didn't see any repurchases in Q1. So I guess a couple of points on that. Why not buy back more stock? Are you seeing more accretive M&A opportunities out there? And can you discuss that pipeline at all?
Jack Springer: Yes. I think with coming out of COVID, there is more activity. It really had tamped down from an M&A point of view during the COVID crisis. And I think just people trying to figure out where they're going to get their footing. We are starting to hear a little bit more out there. And right now, I'd put it this way. One, we have - it's a low stock price, but it's still in the 50s or so. So we're looking at that and we're looking at the best time to potentially make a repurchase. But secondly and more importantly, I think, is we want to be very, very prepared when that next great asset comes to market. And we've said this before, but we've looked at over 30 companies since 2014 when we did our IPO, and 2 companies have made the cut, Cobalt and Pursuit. And so we want to continue to be very, very focused on getting the right assets. But when it comes to market, we want to be ready at that point in time to do that. So as the market begins to heat up, we're going to be on the standby ready to make that acquisition if the right one comes along.
Operator: And our next question comes from Gerrick Johnson with BMO Capital Markets.
Gerrick Johnson: I have two here. First, if we could go a little bit more deeply into the advantage to vertical integration in this kind of environment, sticking with your core tow boat business. How many fewer suppliers do you rely on compared to, say, your nearest competitor? That's the first one. And then second, Wayne, if you just go through the components of gross margin, 200 basis point increase. What are the good guys and bad guys? If you could discuss the scale freight promos, input, labor cost warranty, things like that?
Jack Springer: Okay. So on your first question, Wayne can take the second question. But on the first question, again, we don't really look at it in a number of suppliers. We look at it in a number of parts. And I would say that and this is a pure guess because we've not looked at it this way. I would say, easily, there's 50 - more than 100 parts when I think about stainless and billet, items like that, that we have brought in-house over the point in time versus our competition. The way we look at it, and I think this is an important way to look at it is that we control 25% more of the cost of our boats for Malibu and Axis than do our competition because of our vertical integration. So we control the concept, we control the design, the supply chain, the pricing that comes within that supply chain. And then ultimately, the production of the components that allow us to make boats. And that's what gives us an incredible advantage. Wayne?
Wayne Wilson: Yes. So with respect to gross margin, the #1 driver of that expansion is what we have achieved at Pursuit. So we - the new plant coming online, and getting rid of contract build and producing more stuff ourselves is the #1 driver of that expansion. I would then point to a couple of things that are benefits. One is that we had higher part sales. So boat usage, which is a good - which is a strong predictor of future boat sales, I would point out. But boat usage has been off the charts. And so part sales had a little bit of an impact there. You also, if you recall, last year, in our first fiscal quarter, we had a Labor Day sales event that was kind of abnormal, that's a little bit of a - dragged that margin down a little bit. All of these components that - and you also have a little bit of benefit on the engine vertical integration initiative at Malibu, and those are all kind of about equal, but less than what we've achieved at Pursuit. That all is a little bit offset in the competitive labor environment, where we've raised some wages to make sure that we can meet demand, probably offset that a little but, but those are the primary components in kind of order of magnitude.
Operator: Ladies and gentlemen, I'm not showing any further questions at this time. I'd like to turn the call back to Jack Springer for any closing remarks.
Jack Springer: Thank you very much. In summary of the quarter, we entered 2021 delivering unparalleled results for the first fiscal quarter. We continue to extend our leadership position with strong market share gains. Our teams continue to push boundaries through the introduction of new product models that exemplify innovation and luxury and draws customers into the Malibu, Cobalt and Pursuit lifestyles. Our strategic planning, operational excellence and supply chain management continues to support our outperformance of the broader industry. Our vertical integration has enabled us to remain resilient, quickly dodging and overcoming many of the issues that our competitors have faced. We are managing through modest headwinds for the fiscal year and expect to deliver strong earnings and adjusted EBITDA growth. And given our extraordinary start to the year, we remain confident in our ability to deliver value to our shareholders while outperforming peers to solidifying our dominant industry position. As always, we thank you for your continued support and for joining us in our journey towards growth and continued excellence. I hope you and those around you are all staying safe and healthy. Have a fantastic day.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for your participation. You may now disconnect.